Operator: Good afternoon, ladies and gentlemen. Welcome to Chunghwa Telecom Conference Call for the Company's Second Quarter 2020 Operating Results. [Operator Instructions] For information, this conference call is now being broadcasted live over the Internet. Webcast replay will be available within an hour after the conference is finished. Please visit www.cht.com.tw/ir under the IR calendar section. Now I want to turn it over to Ms. Angela Tsai, the Director of Investor Relations. Ms. Tsai, please go ahead.
Angela Tsai: Thank you, operator. Hello, everyone. Welcome to our second quarter of 2020 results conference call. This is Angela Tsai, the Director of Investor Relations for Chunghwa Telecom. During today's call, Mr. Harrison Kuo, our President and Chief Financial Officer, will provide an overview of our business achievements during the quarter and discuss operating highlights. He will be followed by Ms. Fu-Fu Shen, our Assistant Vice President of Public Affairs, who will provide financial highlights. We'll also have a Q&A session. Now I would like to hand the call over to President Kuo, and please note your safe harbor statement on slide two. President Kuo, please go ahead.
Shui-Yi Kuo: Thank you, Angela, and hello, everyone. Welcome to our second quarter 2020 earnings call. Today, I would like to begin by highlighting our 5G service launch, which took place on June 30. We expect the launch of 5G service as a change to this mobile market toward sales growth. So far, we have seen evidence of a significant increase in adoption of our high-priced mobile plan amid the 5G launch. We believe 5G is a chance to make telecom operators to provide services beyond that of standard operators by delivering services while our need to be protect business model. We will actively create innovative 5G services by acquiring, building or collaborating with partners from different verticals. In addition, we aim to provide a same as broadband connect environment to satisfy customers. We believe our advantage of the largest mobile broadband spectrum can result in network infrastructure and the availability of net WiFi are the key reasons for us to achieve the call and stand out. Now I will provide the key highlights of the second quarter of 2020. I am pleased to say our 300 megabits per second broadband migration increased more than 30% year-over-year in the second quarter. Our vertical private network service offerings provided through enterprise customers, continued to grow to contribute the total revenue. In addition, our at Home WiFi subscription increased 120% year-over-year. We were glad to see that healthy growth of our core business. During the quarter, we also continued to see the impact of the COVID-19 pandemic on our overall business. We saw the growth in fixed broadband, cloud and ICT services due to increased demand of work and study from home and multi-business and was relatively resilient, thanks to the growing stay-at-home lifestyle trend. In addition, digital channel assets and transactions increased 92% year-over-year, enhancing our overall channel funding and performance. However, international mobile enrollment revenue continues to be affected due to the ongoing order lockdown and we expect this trend will continue over the next several quarters. Now allow me to walk you through each of our baseline slide. On slide five is an update of our mobile business. We are pleased with our continued leading market leading by both mobile revenue and subscriber numbers during the quarter. In addition, we are encouraged by our postpaid subscriber number, which has been increasing for six months in a row, showing our success in both existing subscriber retention and the new subscriber acquisition, especially from the effective growing initiatives. In overall mobile performance, we are pleased to continue to experience a small decrease in mobile revenue mobile service revenue among our peers quarter-over-quarter. This was mainly due to our efforts of guiding subscribers to adopt higher priced plans. slide six provides an introduction of 5G services. As the largest 5G spectrum holder with locations in Taiwan. We anticipate offering to our customers' quality 5G service offerings with cloud gaming, Ultra HD video streaming and the VR or AR-related applications at the highest speed and low latency. We aim to acquire more than one million 5G subscribers over the next year. In addition to retail consumers, we will also leverage our 5G network to support innovations from enterprises, making net connections, such as smart importation, medical applications, smart inspection and other vertical applications. We Value Our large enterprise customer base and expect the percentage of revenue contribution from enterprise in the 5G era to increase the growth in the medium term. slide seven shows our SG&A network construction plan over the next two years. As of June 30, when we launched our 5G service more than 2,000 base stations covered all cities and counties in Taiwan. We provide 5G service on the 2.1 gigahertz and 3.5 gigahertz band. By leverage 5G, our 4G networks and 4CA application enhancement. We are confident that we will develop front-runner in Taiwan in terms of 5G speed and the coverage. By the end of this year, we plan to complete more than 4,000 base stations to ensure 5G for coverage in major metropolitan cities and the important transportation hubs along high-speed rail and the main lines. At 2020 state, more than 8,500 base stations are expected to further expand coverage nationwide. The key 5G rate is expected to reach two gigabits per second, with support from 5G our 4G network and 5CA acquisition technology. Please turn to slide eight for an update on our broadband business in the second quarter. During the quarter, we are encouraged by the continued ARPU update in our broadband business, which reflects our success in migrating subscribers to adopt higher speed services. The number of subscribers signing up for the conventions is of 300 megabits per second or higher increased by 81% year-over-year amid the growing VPN revenue contribution from enterprise customers. We are confident in overall growth in business, even though lower speed subscriber number continues to decrease quarter-over-quarter. slide nine, demonstrates our MOD business performance. In the second quarter of 2020, our IPTV and multi-platform continued to be the largest video platform in Taiwan with more than 2.08 million subscribers. In spite of the delay of the 2020 Tokyo Olympic games, which decelerates subscription momentum. Overall, MOD revenue continued to increase 2.1% year-over-year, mainly from the increase in VOD revenue. Although our SVOD subscription number decreased year-over-year owing to the program adjustments made during the quarter, we continue to see up here in our tier pricing channel packages continue to be the most popular, which actually observed. Going forward, we believe our IPTV MOD platform, which carries VOD channels and OTT services. We continue to be relatively resilient as the cable market is being reopened by OTT and strengthened by low priced competition. Please turn to slide 10 for our ICT business update. In the second quarter of 2020, overall ITT project revenue has increased 3.8% year-over-year, mainly due to revenue recognition of some large projects and the increase of mobile ICT revenue. Because of COVID-19 pandemic continues to affect enterprise consumers and customers' business decisions, we will closely monitor business opportunities in the enterprise market and the aim to enhance ICT training revenue contribution to stabilize overall ICT business performance. In terms of emerging ICT business and services, in the second quarter of 2020, ICT revenues increased 4.2% year-over-year, and the information security revenue increased 30.7% year-over-year. Cloud revenue decreased 15.8% year-over-year due to its higher base of project revenue in the second quarter of last year. However, we are glad to see that cloud streaming revenue continues to grow year-over-year. To maintain our leading position in this emerging services, we will continue to collaborate with our subsidiaries and departments to expand market share and profitability to strengthen overall performance in every sector. At this point, I would like to turn the call over to Fu-Fu to review our financial results.
Fu-Fu Shen: Thank you, President Kuo. Now I will go through our financial results in greater detail. I will begin with slide 12, which provides highlights from our income statement. For the second quarter of 2020 on a year-over-year basis, total revenues decreased by 4.6%, and operating cost of expenses decreased by 6.6%. Income from operations increased by 3%, and net income remained the same year-over-year. In addition, our EBITDA margin increased to 40.5% from 38.1% in the same period of 2019. Okay. Please refer to slide 13 for revenue breakdown by business segment. The decrease in total revenue for the second quarter of 2020 was mainly due to the decrease in fixed voice revenue, paper sales revenue and mobile service revenue. The decreases were partially offset by increases in other revenues contributed by our subsidiary through our precision test. Moving on to slide 14. Our operating costs decreased by TWD2.61 billion or 6.6% year-over-year in the second quarter, mainly due to lower interconnection costs, cost of goods sold and maintenance and material expenses. slide 15 shows that cash flow from operating activities for the second quarter of 2020 decreased by TWD2.78 billion or 17.5% compared to the same period of 2019. This was mainly due to an increase in accounts receivable. As of June 30, 2020, we had TWD19.17 billion of cash and cash equivalents, a decrease of TWD17.38 billion or 47.6% compared to the same period of 2019. The decrease was mainly attributable to the payment of transition fees for the 5G frequency spectrum option, which was partially offset by an increase in short-term. Slide 16 shows our operating results as compared to our guidance. In the second quarter of 2020, revenue was lower than guidance, mainly due to lower handset sales in mobile service revenue. On the other hand, our operating income, net income and EPS exceeded guidance. Lastly, slide 17, we are budgeting CapEx of TWD30.7 billion for 2020 as we started 5G service on June 30. 5G-related CapEx has been spent and will be executed according to our plan. We will also continue to focus on our CapEx spending on our growing and emerging business to enhance overall performance. Thank you for your time. We would now like to open the line for questions.
Operator: [Operator Instructions] Our first question is coming from Neale Anderson from HSBC. Go ahead please.
Neale Anderson: Hi guys, good afternoon, I have two questions, please. The first relates to the cost outlook. Because I see marketing expenses have been coming down, I think, down by about 4%. How do you expect that to trend now that 5G has been launched and if we go into the second half with more 5G handset. So really, that's my first question about cost impact of 5G, and whether you can take costs out to offset that? And then the second question was really, could you give us an update on mobile competition? Has there been any big change in the quarter? What you see the outlook is?
Fu-Fu Shen: For your first question about entering to the second half, if the 5G related to the marketing expenses. First, we understand that since would like to see the 5G migration to speed up a little bit in the second half. So the with the encouraging resource, we allocate all our resources. For example like the handset subsidies amount in 4G and 5G, we will set aside in a little volume for 5G. So of course, for the marketing.. for 5G will be spend a little bit more. So in the second quarter into the second half, that part will increase with it, for sure. The second question, would you repeat that?
Neale Anderson: Sure. It's really on the general state of mobile competition. Have there been any changes you haven't seen any price changes in the market.
Fu-Fu Shen: Actually, the I think three major already launched 5G services. The business is still a very early stage. And for 4G, I think quality we know, the competition we know is quite stable. So I would say that the overall mobile competition is relatively stable. So we don't really see any big change in this quarter.
Neale Anderson: Thanks, sir. And thank you.
Operator: [Operator Instructions] The next question is coming from James Wang from UBS. Go ahead please.
James Wang: Good afternoon. I just got a really quick question. I just wanted to find out for those customers that are taking up 5G plans. What sort of increase are you seeing on the ARPU? Or are they mostly high-value customers that are moving in parallel in terms of ARPU to 5G?
Fu-Fu Shen: Sorry, can you repeat your question? It's not very clear.
James Wang: Yes. So I just wanted to know whether you are seeing any ARPU improvement for those customers that are taking up the 5G plan.
Fu-Fu Shen: Yes, ARPU, we the four 99, at one of the plans. In the 5G. And so I think that's in the past several months, we've been working on the through our [civil service and the] that program. And that program already completed very smooth, and we are quite happy with the results and we see more than 90% of our test [will be will described] program the contract and we see the overall results, actually, we it's positive. So we are quite happy with that. So we like to copy that result to the upcoming Mother's Day, that package, which is supposed to be completed by November this year. It's already on the ongoing part of process. It's already in process at the moment. And that's one part. And the other part, we mentioned who we've been doing pretty good in the for the student package. And the student package, the ARPU, we are also quite happy with that. So even though the overall ARPU is not really see some downward but in different sectors, we see still working very hard to try to upsell part of it. So we would like to see with the injection, with the high priced plan for 5G together in the future, along with the 5G migration becomes faster and faster. We do expect to anticipate expecting in foreseeable future the overall ARPU can have the chance can have chance to help cost ARPU uplift in future. Of course, probably not in very near future, but do have this kind of possibility.
James Wang: Okay. Thank you.
Operator: And the next question is coming from Amber Lee from yuanta. Go ahead please.
Amber Lee: Two questions here. First, you're guiding was TWD50 billion of CapEx for this year with your target of building out 4,000 base stations by the end of the year and for next year, if you're expecting the 8,500 more than 8,500 base stations, should we expect to see a significant increase in your CapEx for 2021? That's my first question. And secondly, can we have a ballpark on the initial adoption rate of 5G plans? Whether it's percentage-wise or as number of subscribers.
Shui-Yi Kuo: 4,000 base stations by the end of this year, and it will over 10,000 base stations in three years. We are confident to stay okay in the number of base stations, but we do not emphasize an but to meet customer needs and provide customers with a good experience. Thank you.
Amber Lee: With the X factor significant increase in key facts for the next year or it's more flattish trend.
Fu-Fu Shen: Could you repeat your second question, it's not really clear.
Amber Lee: That was a follow-up for my first question because it's CapEx outlook for the next year. And then second question is the ballpark number of 5G subscribers. Either percentage-wise or the number of subscribers for the initial adoption since the 5G service of Chunghwa has launched for about a month now. Just want to see the initial adoption trend?
Fu-Fu Shen: I guess your question is related to the CapEx if the increase of the base station, will the CapEx will continue to increase. Of course, I think you know. We actually were budgeting the CapEx for the later base station build-out for next several years, for sure. So this is kind of in order. We have some kind of claim in order for sure, yes. Just like our presentation above this we have planned that it will depend on the customer in the demand will be adjusted by that.
Amber Lee: Then can we have the number of 5G for percentage.
Fu-Fu Shen: About the adoption rate of 5G or coverage, it's still in the very early stage. Sorry, I think we will not disclosing that number.
Amber Lee: Thank you.
Fu-Fu Shen: Okay, thank you.
Operator: [Operator Instructions] Our next question is coming from Peter Milliken From Deutsche Bank. Go ahead please.
Peter Milliken: Thank you. I think. Then Just one question. Your net profit is about 5% ahead of what you expected it to be. Is that is there not one main reason for that? Like would it be marketing costs came in low? Or is there something else that's driving the better-than-expected performance?
Fu-Fu Shen: I think margin increased of course, you have to look at the revenue side, okay. In the second quarter, our revenue actually decreased, part of the revenue like in the handset sales, which is really low-margin revenue in the like the international core revenue, again, it's low-margin revenue. This kind of revenue increased, which actually bring a lot of the cost down, so resulting in the a lot of costs down. So they come out the margin will uplift a lot. I think probably this can answer the question.
Peter Milliken: Right. Yes, I can see that that's why both revenue and cost went down because you were selling your handsets. But would that does that also explain why profit was higher than expected? Or was service revenue --
Fu-Fu Shen: Sorry, I really didn't follow you. I think it's not really clear. Could you say it again please.
Peter Milliken: Yes. Would you say that service revenue was higher than you expected?
Fu-Fu Shen: No, no, no. I'm thinking about the healthy sales actually lower in the because of the border lock down, so the international call, the revenue-related revenue also lower and this two types of revenue, usually it's low margin, and it's related to the heavy cost. So that's resulting in the overall the cost, heavy cost decrease resulting the margin, better margin. So that's how I explain why we see good margins for second quarter. Hope this answers your question.
Peter Milliken: Yes, that's fine. Thank you.
Fu-Fu Shen: Okay. Thank you.
Peter Milliken: You're welcome.
Operator: [Operator Instructions] The next question is coming from [indiscernible].
Unidentified Analyst: I have two questions. First, can you compare the average payment of those new 5G subscriber to their original payment we know this first quarter may be a very high payment contributor in 4G period. So can you compare their monthly payment in 5G and right now? And the second question is, we see the subscriber of your MOD is flat and keep at slightly above two million subscribers for several quarters and U.S. subscriber of VOD significant decline this quarter. But we see your broadband business, the revenue of the broadband business is slightly climbed these few quarters. So does it mean your MOD business had some impact from the competition from like Netflix or the IGE. These two questions.
Fu-Fu Shen: For your first question, okay, about the MOD. I think your question is that you're asking about our 5G customer return to, their ARPU compare the ARPU about 4G customer, right?
Unidentified Analyst: Yes.
Fu-Fu Shen: I think we do see uplift for sure, yes. So we are encouraged by that. We see uplift. So we are encouraged. That's pretty, pretty firm about that part, okay? That's the answer to your first question. And for your second question about the MOD, I think, yes, our MOD customer base continue to be quite simple and have a little bit slower and has a little bit dropped down a little bit because we are lacking in recent two years, we are lacking both major sports events. But for Chunghwa, I think we are happy to see that we had last year, we had this tier type of channel selection of program introduction so that we can upsell some of the program. And also, you see the overall MOD revenue had some increase, okay, even though we have some customer loss. So the overall business doesn't have too much impact. And at the same time, OTT service, although have some impact to our SVOD. That should since we can get share. So we thought we share with you OTT service. We have showed revenue, which is also helpful for our overall business. So I think we adopt very good strategy. So we have Netflix. We have other OTT services together on our platform. So overall MOD, I think compared with the cable guys this service are much more resilient in terms of video in Taiwan.
Unidentified Analyst: Okay, thank you.
Fu-Fu Shen: Thank you.
Operator: The next question is coming from Billy Lee from Credit Suisse. Go ahead please.
Billy Lee: Long-term. Thank you. We will take, Just on the answer that you just gave in previous questions. So on the cost, operating cost, especially, I guess you are seeing that the lower handset COGS and independent and other various product costs have decreased because of lower sales. But when I look on the on page 14, the operating cost is down 7.6%. So that contain the majority of the items that you just mentioned. So that's a question for now.
Shui-Yi Kuo: From our operating costs and the expenses decreased about 6.7% year-over-year in the second quarter, mainly due to lower interconnection costs, cost of goods sold, you mentioned that handset sales decreased and maintenance and the material expenses. That's the three major items.
Billy Lee: Yes, yes. Okay. Got it. So it's not -- and then another follow-up on previous questions on the CapEx, particularly for 2021. I know probably the CapEx guidance is not helpful for next year, but could you just give us what the action of the CapEx in next year because I think touching about the base station number, there's obviously more than double increase in Tagrisso. So just wondering how big that jump do you expected would for the CapEx.
Shui-Yi Kuo: Okay, in the stage of 5G and the non-stand alone architecture is interoperable with 5G networks. And we collect collocate the low medium and the highest vacancy banks to expand our 5G coverage year by year. We expect our 5G CapEx peak will still be the period between 2020 to 2023.
Billy Lee: I'm sorry, can you repeat your last comment about 2021. I didn't catch that. Could you repeat that?
Shui-Yi Kuo: 2021 to 2023, 2023, yes, 2021 to 2023.
Billy Lee: I mean could you like I hear the year 2021, 2023, what were you just saying about the two years.
Fu-Fu Shen: We were talking about in the probably the spending for 5G will be the peak for spending 5G CapEx will be located between 2021 and 2023. Yes, that's that we would like to elaborate.
Billy Lee: Thank you.
Operator: [Operator Instructions] The next question is Amber Lee from Yuanta. Go ahead please.
Amber Lee: With the margin in the first quarters being higher than these guidance, do you expect...
Angela Tsai: Could you approach your microphone a bit of closer? It's not really clear.
Amber Lee: Okay, sure. Can you give us your margin outlook for the next two quarters for the sorry, second half of the year it's adding in the 5G launch with potential market and expenses.
Shui-Yi Kuo: Yes. Please see our forecast announced in the beginning of the year. And that in the second half, the amortization cost will be higher because of the 5G launch. So it might be a little bit lower than the first half of this year.
Amber Lee: That EBITDA margin?
Shui-Yi Kuo: Yes.
Amber Lee: Just a little bit lower.
Fu-Fu Shen: And actually, when we announced our divisional forecast early this year, we're already set-in the order of 5G, all these kind of factors, okay.
Amber Lee: So is the upside coming from the first half of the year, you would expect to see off-site user in the second half of the year.
Fu-Fu Shen: Sorry, it's not really clear. Your question is could you say it again?
Amber Lee: With the margins being higher than your guidance in the first half of the year, do you expect it to also be higher from your guidance for the second half of the year?
Fu-Fu Shen: So we won't change our guidance at the moment. So I think it's, okay. I'm sorry.
Amber Lee: Yes. Thank you.
Fu-Fu Shen: No further questions. Thank you.
Operator: [Operator Instructions] The next question is coming from Billy Lee, Credit Suisse. Go ahead please
Billy Lee: Can I ask another question too. I know what are the most exciting new 5G application trends. I just want to get a sense of any potential, huge potential 5G opportunities are coming up and we are seeing very good traction so far?
Fu-Fu Shen: Everything is in the early stage, not in really no so nothing really excited, okay, at the moment. So I think we are still cultivating the behavior at the moment. Sorry for that.
Billy Lee: Yes. No problem. Thank you.
Fu-Fu Shen: Thank you.
Operator: [Operator Instructions] The next question is coming from Jeff Chin form CHT Security. Go ahead please.
Jeff Chin: I have a question about will we change our forecast a new forecast because we see the forecast of treatment rate is about 40%. So we draw our expectations for year full year expectations now or is it key. The new expectation.
Shui-Yi Kuo: Yes. Our forecast EBITDA margin is between 37%.
Jeff Chin: Yes. I mean, the achievement rate, only 40%, especially right now, it has happened here. So we changed our annual expectation or we will keep?
Fu-Fu Shen: No, we won't change the full year kind of forecast. As you know, the 5G is coming for the second half. All the healthy fees or the marketing, everything is coming in the second year. So for sure, the margin for the second half would be like 40%. So we will remain our original forecast.
Jeff Chin: Okay. So another question is about when will we see the new iPhone according to the I mean according to the plan, will we partner, will we have the new iPhone is in the fourth quarter or in the so-called, we can have a new iPhone, especially the 5G new iPhone.
Fu-Fu Shen: I think everybody which is why Apple to confirm for that.
Jeff Chin: Okay. Thank you.
Fu-Fu Shen: Thank you.
Operator: [Operator Instructions] If there is no further questions, I will turn it back over to President Kuo. Go ahead, please.
Shui-Yi Kuo: Thank you for your participation. Goodbye, everyone. Thank You.
Operator: Thank you. Thank you, President Kuo. Thank you for your participation in Chunghwa Telecom's conference. There will be a webcast replay within an hour. Please visit www.cht.com.tw/IR under the IR Calendar section. You may now disconnect. Good bye.